Operator: [Interpreted] Thank you very much for attending the Renesas Electronics Quarter and Full Year 2025 Earnings Call. Today, we offer you simultaneous interpretation service. Please utilize interpretation icon and choose the language of your preference speakers. Speakers, please turn your video on. For today's presentation, we have presented Executive President and CEO, Hidetoshi Shibata; executive officer CFO, Shuhei Shinkai; and other staffs are present. After Shibata has given his words, Shinkai will explain about fourth quarter and full year earnings. And then we'll go into a Q&A session. We're planning for 60 minutes for this earnings call. The presentation material that we're using today is available on our website on the IR site. Mr. Shibata, the floor is yours.
Hidetoshi Shibata: Good morning. This is Shibata speaking. So the fourth quarter, I think it was better than our expectations. The end demand, not large, but it has grown. And AI is strong. I think that goes without saying. And on top of that, the industrial applications, it has been slightly moderate than expected, but we have seen a good, strong, robust growth. So towards the first quarter of next fiscal year, and I would like to give you an outlook about that. So our revenue outlook, it is shown in the presentation. But beyond that, the end demand outlook, so Automotive, IIoT, we are expecting a moderate growth, specifically for IIoT. And of course, AI is going to be very strong. And for the Industrial we are expecting solid growth first quarter consumer applications due to seasonality will go down. But IIoT, overall, will be -- saw a moderate and solid growth. And as a result, for the whole company, this is a repetition, but although moderate, we think we'll be able to show some solid growth. For this fiscal year for the full year, we haven't shown you guidance in terms of the numbers because we have not been able to decide the details. But mid to the previous presentation, I think we have started to see a better momentum. For Automotive, basically sometimes it goes up, sometimes it goes down. But Industrial, we think we were able to expect a solid growth. So the AI, data center, those areas, I think we'll be able to see robust growth. And for AI infrastructure, for this year, I think I see for the sites other companies, we are expecting a very good growth year-on-year basis. So we have transferred the timing business. So towards the Capital Day that we're going to hold in June, we want to update our AI business. But roughly speaking, maybe double and grew by double. I think that is our outlook. In terms of IIoT, a very moderate growth is what we are expecting, specifically towards the second half, the DRAM shortage may have an impact on the business. So that is the reason why we are a little subdued in our outlook. So compared to the previous earnings call, I think we have a more positive view. So then let me pull up a slide and talk about the transfer of the timing business. So this is a brief summary. And after that, I will hand it over to Shinkai for more detailed numbers. So broadly speaking, the timing business. So mainly, this is a clock business, we have decided to transfer this business. So half and half cash in common stock is in total, $3 billion transaction value. So from our point of view, our timing clock business, we think we can grow this business. But for the technological trend, it is high potential MEMS timing. So if that is the case, SiTime is a better owner. And it is better for us to integrate this business and seek for growth. It's not the case that we just sell it and then that's it. We will acquire some stock from SiTime's. And from my point of view, we would like to enjoy some of the fruit that will be coming from the growth of the MEMS timing. So there's a reason of the partnership. The timing business transfer that we're going is the size of the scales on the top right. So before -- so this is for FY 2024 because we have not closed the books yet. For 2025, the full year revenue won't change that much from this level. So $207 million to [ $208 million ] business is what we are going to talking about. So I think for SiTime, this is a very complementary business. So we focus on clock SiTime as basically focusing oscillators. So if you combine both, this will be a kind of end-to-end technological coverage. So we do not assume any roadblocks, but of course, we have to clear some regulation hurdles. So by the end of this year at the latest, we think we'll be able to close this deal. So in terms of the use of this cash, so whether we go to hold all this cash? Or is we going to sell at early timing? We are still considering. But in any case, this is growth for investment or for the shareholder return, we will look at both ways to allocate the cash. So that has been the summary about the just for the timing business. Then I will hand it over to Shinkai and talk about the details of our numbers and then go to Q&A afterwards. Shinkai-san, please.
Shuhei Shinkai: So this is Shinkai. I would like to talk about our fourth quarter, full year results based on presentation. For the fourth quarter, please look at the left-hand side, from the left to the middle. So the revenue is JPY 350.9 billion. Gross profit margin, 59.3%; operating profit, JPY [ 108 ] billion; operating margin, 30.8%; EBITDA, JPY 127.8 billion; net profit, JPY 90 billion. The ForEx, JPY 152 to the dollar; EUR 1, JPY 176. So compared -- and for the full year, please look at the blue column on the right, blue one. So the revenue, JPY 1,318.5 billion; gross profit ratio of 57.6%; operating profit, JPY 386.9 billion; operating margin, 29.3%; EBITDA, JPY 464.1 billion; net profit JPY 329.3 billion; ForEx assumptions, JPY 150 to the dollar, JPY 167 to the euro. So for the full year outlook, I would like to give you some brief comments. So this is on the year-over-year comparison is shown. In terms of the revenue, it's 2.2% of decline. So Automotive due to minus, and Industrial IIoT is minus -- plus. So net-net, it was a minus. In terms of the gross margin year-over-year, 1.6% of improvement. This is due to the manufacturing cost reduction based mainly on the fixed cost. And last year -- from last year, from FY '25, we have been changing the depreciation period. So this is not a one-off. This will contribute to us going forward. In terms of the operating profit margin, so 0.2% worsening because of cost reduction, we have been able to reduce costs, but basically, this was offset with the demerits. So the sales volume decreased, and there has been a backlash coming from a one-off in the '24. So net 2.2% worsening. So let's go to the next slide. So the fourth -- going back to the fourth quarter, so let's look at the column on the right, revenue 3.2% plus. So half is through the weaker yen, half is through the actual demand -- due to demand, Automotive, Industrial, IIoT, this has been our expectations. And in terms of the gross margin, plus 2.3% improvement. So this is due to the mix improvement and the reduction of the manufacturing expenses. In terms of the mix, we were anticipating that this will worsen, but it has not been bad as such. So the high gross margin products, for instance, memory, timing, et cetera, has increased and that led to improvement of the gross margin. In terms of the manufacturing cost, so there are some a lot of one-offs. For instance, the project -- manufacturing-related projects cost has been less than expected due to this. The gross margin improvement -- this has [ made ] contribution to the improvement of the gross margin. But the operating margin is plus 3.3% improvement against the target. So the volume growth, the gross margin improvement, there is some contribution for the operating cost. Expenses has been in line. In terms of the expenses, it was basically in line with our expectations. So the quarter-on-quarter comparison, please look at this chart. In terms of the revenue plus positive, gross margin plus 1.7 percentage points. On a quarter-on-quarter basis, manufacturing cost has gone down. The utilization has improved. In terms of the operating expenses, minus. So the OpEx has increased, is the main reason. And this is due to the seasonality because it's more concentrated at the year-end. For each segment, it is on the right-hand side for Automotive and Industrial, Infrastructure and IIoT, there's nothing that's notable this time around. But when you look at OP margins for Industrial, Infrastructure and IIoT; it has deteriorated Q-o-Q by 3.4 points. This is due to development items and loss recognition that happened in the fourth quarter. Also, regarding segment performance for this fiscal year from fiscal '26, non-GAAP segment performance definition is scheduled to change. Up until 2025, as shown here, out of total company non-GAAP adjustments items, if they are inherent to the segment, we were adding it back; or if it's a loss, we were deducting it by segment. However, from this fiscal year, in principle, we will be adjusting it together with company-wide non-GAAP performance. So that is the way we intend to report going forward. Please turn the page. So this page is about revenue. We changed the format a little. For Industrial, Infrastructure and IIoT, we made it more visible. And on the right-hand side, for revenue, this is year-on-year and Q-on-Q numbers that are shown. Inclusive of FX as well as in parenthesis, it's excluding FX impact. We have added that because FX is fluctuating quite a lot. So we wanted to make things more visible and easier to understand. Please turn the page. This page is about inventory. First, on the left-hand side, for in-house inventory. For Q4, Q-on-Q, inventory amount and DOI both increased in line with expectations, and it was at 117 days of DOI as of end of Q4. For Q1, we are expecting an increase in amount Q-on-Q due to demand recovery, we will be expanding the Diebank in anticipation. And also in Q2, the IT system or the ERP system integration is scheduled to happen. Therefore, at the time of integration, we will need to build up towards this phase. And due to this impact in Q1, we expect a little higher work-in-progress inventory. And under the third bullet, as shown for the DOI target, it used to be 120 days. We have updated it and are thinking about raising it to 150 days. It's because demand is increasing, especially around AI and data centers and also supply chain risk-wise, we believe that we need to have some more buffer stock for finished products and Diebank on top of that to secure raw materials that may be subject to risk. In consideration of these factors, we have decided to raise DOI targets from 120 to 150 days in managing our in-house inventory. Looking at the right-hand side, it's channel inventory. For Q4, Q-on-Q, channel inventory declined. Overall, it was 7.5 weeks of inventory WOI. For Automotive, we were planning to do shipments in line with sell-through. But sell-through went higher than expectation, so channel inventory went down. For Industrial, Infrastructure, IIoT; inventory went up slightly, but this was due to power for data centers and AI where demand is strong. So we were shipping as soon as it was completed. And therefore, sell-through was a little bit higher than expected. And for Q1, Q-on-Q, we are planning to expand sales channel inventory. Orders have been brisk. And up until the end of Q4, WOI was trending at low levels. So for sales channel inventory, we would like to strive to have higher levels of inventory. That is why we intend to expand inventory levels. Turning the page. We talk about utilization rates on the left-hand side. First of all, for Q4 compared to our forecast, it was a little bit higher, at close to 50%, 5-0. And also for Q1, we are expecting a slight increase in trend at around 50%-plus utilization. Regarding capital expenditures on the right-hand side, Q4, there is no items that were notable. But for Q1 towards capacity expansion, we are planning to make investments, which we will share with you on a later date. Please turn the page. So this is our forecast for Q1 '26. Please look at the shaded area in the middle. For revenue and the midpoint forecast, it's JPY 375 billion; gross margin, 58.5%; operating profit margin, 32%; and FX, JPY 154 against the dollar and against JPY 182 against the euro. For revenue, Q-on-Q, we're expecting growth of 6.9%, as you can see on the right column. FX-wise inclusive, we're expecting revenue growth of 1.9%; and excluding FX impact, 4.9% growth. And we're expecting gross margins to go down by 0.8 points to 58.5%. The weak yen is a tailwind. But due to mix, we're expecting a reactionary fall Q-on-Q. And due to the price increases, we are expecting a minus 8 point decline. For operating margin, we are expecting 1.2 points higher operating margins Q-on-Q to 32% due to volume growth due to revenue growth. That is the main factor. And for OpEx, Overall, we are expecting flattish trends Q-on-Q expenditure-wise. For FX sensitivity, you could see the sensitivity analysis at the bottom. Based off the sensitivity, the forecast for Q1 and OP margins of 32%, we -- at JPY 100 against the dollar and JPY 120 against the euro, OP margins will be 25.7%. So I would like to also pick up some slides from the appendix as well. Please turn to Page 18. These are the GAAP numbers. On a full-year basis, the second from the right, please refer to this column. On a GAAP basis for net income, JPY 51.8 billion of losses were generated. This is related to Wolfspeed. And impairment losses were JPY 237.6 billion. That has led to the loss. So this is the big difference between GAAP as well as non-GAAP. And please also turn to the next page. These are highlights from the fiscal year under review. we will continue to pay dividends worth JPY 28 a share. And for Wolfspeed transactions, CFIUS approval came through. So common stock and convertible notes, the rights have -- will be acquired. Looking at the next page, this is a continuous update on Altium. Left-hand side shows ARR steadily increasing. And for the KPIs concept, we continue to work on it. For comprehensive updates, we will do it in June when we have Capital Market Day. That concludes my explanation. Thank you for your kind attention.
Operator: Let's go to Q&A. [Operator Instructions] UBS Securities, Yasui-san, please.
Kenji Yasui: So I have two questions. The first question is that the comment Shibata-san made at the beginning, the AI, said that it may double for this year. Basically, it will be interface, PMIC that will be the major applications. Can you explain in more detail? What is your outlook for [ 2026 ]? I think that will be also pipeline, PMIC, GPU plus custom is going to -- ASIC is going to grow. So what are the types of things that will drive the growth in these applications? The second question, this is not related to the earnings, but in Japan, there is a lot of realignment or integration with the domestic power semiconductors. Mitsubishi Electric's President has said that maybe they would like to consider that for the -- for this fiscal year. So maybe for the silicon carbide again, maybe for the data center demand, maybe it will improve again. So are you going to be engaged in this type of realignment in the industry for the domestic business.
Hidetoshi Shibata: For the AI-related business, as I said in the beginning, well, our definition, so we are going to transfer the timing business, and we are considering how to update the business. So in June, what we are going to present is based on updated information. But as of today, basically, we'll be talking based on the existing definition. In terms of the digital power, this will drive the growth in terms of the absolute amount, in terms of the growth rate, I think this will be the driver. Last year, so GPU has grown strongly. For this year, ASIC, I think application for ASIC is going to grow a lot. So going to the first quarter numbers, I think that's what I'm anticipating for the hyperscalers. ASICs for hyperscalers by phases, they are being ramped up. So I think that will be the main driver for this business. But the memory interface, again, the same story. I think it's going to grow. But the baseline has been bigger. So I think the growth rate in itself will be more moderate. But overall, maybe if we include all these factors, maybe double around that level will be the level of growth that we're anticipating. So power will be the driver, and memory will grow as well. So we are -- we have to understand this more deeply. The AI computing when it is growing, it used to be the case that the GPU draw a lot of attention. But CPU, I think, will grow as well. So the ARM is showing a greater stronger position. So I think it will be SOCAMM, et cetera, maybe a lot of directions. But if you look at 1-year timeline, I think traditional-based architecture will be the mainstay. Our memory interface will be used in various content. So that is what we are anticipating. About for the power semiconductors, GaN, as you know, we have already our own, do it internally. So of course, we need some time, but you're going to internalize our manufacturing. So I think I talked about the utilization rate at our plants continue to be slightly higher than 50%, out of which some is going to be utilized for GaN. And what we have to be more conservative is about the silicon-based MOSFET because in terms of volume, it's going to be used a lot. And BCD process, we want to bring this internally as well. So the utilization rate of the plant with CapEx, I think -- including CapEx, I think this will be going up. So SiC, what are we going to do about SiC? All this is a thing that we have been pondering a lot. Currently, ourselves -- well, we are not anticipating that we will be doing the development. And Wolfspeed is one of the partners that we are looking at and with other partners. By having these partnerships, we will procure the SiC and then embed it into solutions. I think that is the direction that we are considering. So in terms of the realignment with the power semiconductor industry, us taking the lead of being proactive, I don't think that, that matches our direction right now. But depending on how things go, we'll consider it case by case.
Operator: The next question is from Takayama-san from Goldman Sachs Securities.
Daiki Takayama: My first question is about -- you talked about digital power, and a follow-up question about it. Regarding your share positioning, it's about 1/3 to 50% for GPU. And for ASIC related, it's likely to grow this year. And in November, you were saying that it's really high. But for this year and your positioning, what are you going to target? Or what do you already see? Also related to profitability, I think you were saying that it's relatively low. But when volume goes up this much, are you going to be able to secure better profitability? Can you give us some implication on that?
Hidetoshi Shibata: Well, actually, it's really hard. For us, having 1/3 or 50%, we have it as milestones. And of course, it would be better to be on the better side of things. And at minimum, we would like to exceed 1/3. But then on the other hand, I think other companies are the same. But when you look at the demand coming from customers, supply is not keeping up. Therefore, it's always the case in these circumstances. So what is the inflated demand piece and what is the underlying demand? When demand is strong, everybody always talks about this, and we are not able to figure it out. But if it's real demand, obviously, we won't be able to catch up. Therefore, qualifying multiple suppliers will happen on a constant basis. So the 1/3 or 50% numbers, we do not feel that it's going to be steady, depending on generation or because of a supply pickup, I think we're going to see our positioning dramatically change and possibly it will go up or down. For power interfaces, right now, we need to ensure that we supply steadily as a supplier. So as Mr. Shinkai said in his part, we would like to ensure we have sufficient inventory as well as sales channel inventory or else it's going to be dangerous. Therefore, even if we have to put a further load on our balance sheet, we would like to have greater levels of inventory so that we won't have to sacrifice our share or positioning. How about profitability? For gross margins, depending on the product or the customer, it differs and varies. But for gross margin itself, compared to the company-wide average, it's not that great greater. It's not that greater. But if volume goes higher, operating margins should improve, as you rightly said, Takayama-san. So if volume increases, it should be a positive incremental impact on OP margins.
Daiki Takayama: My second question is about managing company-wide profitability. At JPY 100, it's 25 to 30 -- well, 30 to 35 based off current FX levels. So you're at around 32% right now. So you were saying that -- were you trying to say and imply that the improvement is going to be moderate this year? But because you were also talking about advanced investments in R&D spend. So if profitability is going to steadily improve, there may be a chance that you will be able to exceed 35%, right? Or there are some companies who decide to invest more because profits are increasing. So are you going to allow profitability to improve? Or are you going to allocate the excess profits to fund your future growth? -- and make investments?
Hidetoshi Shibata: Just because profits are higher, we are not thinking about simply allocating that for investment purposes. And when you think about increasing R&D on a quarter-by-quarter basis, the nature of it is not one where you could increase it significantly all of a sudden. As we said, operating margins in the first quarter, my personal view is we are facing challenges because when we show these numbers, we will get questions like the one you asked, Takayama-san. So we would like to increase R&D spend steadily in the future. So for this fiscal year, for top line, our forecast looks good at this moment. So if operating margins become higher as a result, of course, that is -- that may be possible. However, we don't want to be reactive to top line and would like to ensure that we make R&D spends to areas that we need to invest into. Of course, for digital power, investments are necessary, and we would like to go ahead with our investments. But I would say recently, when it comes to AI in the edge or embedded world of things, regarding its adoption, it has been spreading nowadays. And when it comes to automotive and robotics, mainly for inference. AI, the role of AI is becoming greater, and it's likely to become even greater in the future. So we are reviewing where we stand, and we are thinking that towards AI, we need to be more proactive in our efforts, meaning understanding AI applications better and showing our capabilities, developing capabilities internally if needed. So regarding power and AI, those are some big R&D targets. Another area would be AI inference, especially for automotive and robotics. We do believe we will need to make some big AI-related investments there. So is this going to be through an M&A? Or is this going to be organic? Of course, we are thinking about the options constantly with an open stance, and we will accordingly give you updates. But compared to before, we do believe we need to do more in a proactive manner. That's all from me.
Daiki Takayama: So if that's the case, just to confirm, you're not going to control profitability intentionally, but you will also be making necessary spending in areas like AI for R&D. But as a result, if top line goes up, because of marginal profitability, you should see naturally profitability increase. Is that all right? Do you feel comfortable with that? Because that was my view in hearing your comment.
Hidetoshi Shibata: Yes. For OP margins, naturally, it should go up and down. Right now, in this case, it should be increasing. Just because of increasing profitability, it's not like we're going to open or shut R&D spend.
Operator: Let's go to the next question, BofA Securities, Hirakawa-san.
Mikio Hirakawa: This is Hirakawa from BofA Securities. My first question is at the beginning, you have explained about the timing business transition. So I think basically, you're going to allocate it to the growth investment or the shareholder returns. What we have been understood in terms of the cash usage, so paying the debt. So growth in investment and then -- I think basically, you've given us in terms of your priority of usage of cash. What is your idea right now? My second question, so in terms of the Automotive business, I think basically, you said that it goes up and down. And I understand it's very difficult to have a visibility, but what's your take on the first quarter for the full year of FY 2026? What are the positive and negative factors for the Automotive business?
Hidetoshi Shibata: So in terms of the AI-related -- in terms of cash usage, AI-related investment, well, we are not being coy. We have -- nothing is decided, so that we have been very frank about that. So depending on how we're going to look at this matter, I think the use of cash allocation will be different. So that's the reason why the use of proceeds, we gave you to all these factors. If there are no major acquisitions and no major M&A, if that -- if we assume that way, I think, Hirakawa-san, you're right, so paying the debt, shareholder return, I think that will end. I think that will be our focus. So internally, I discussed this Shinkai-san, maybe at this point, we will show this and say that we pay the debt and then make it -- use it for shareholder return. So if it's a growth investment, if that happens, we'll be acting that way. But we didn't want to mislead you. So we decided that this will be the right expression. So if there's no specific investment target, then we will use it for repaying debt and shareholder return. So if there is a specific candidate, then we will invest for growth. I think that is the idea behind this. For the Automotive business, so if you talk about the quarter-on-quarter and compare the quarter-on-quarter, there are individual reasons that have an impact on the business. So I do not want to mislead you. If you look at the first quarter, some -- Nikkei has written about this in China, so we have a major client there, and they are slowing down right now. So for our overall Automotive business, and it is not a positive. So China as a whole slowing down, I think that is what we're looking. So Japan, I think flat. So for better or for worse, it's stable. Europe, mainly Europe, maybe the same situation as us, but I think that maybe they're trying to build up the inventory more. The end demand is not that strong, but maybe they are feeling that they reduced inventory too far. So Europe, maybe we think the revenue is going to go up. So all in all, a slight growth. So as a momentum or a trend, we do not feel that this is the beginning of the higher growth. I think for individual reasons, I think the business will go up and down. So things are very fluid right now. And there is a possibility that I may change what I'm going to say. But as we have been considering the situation for a long period of time, for geopolitics-related supply situations and we have to consider the supply chain and the way to hold inventory; well, the dramatic change happening and then things will not -- we will be driven to a corner. I do not think that it's going to happen. In the short term, there will be some specs or some pushbacks, et cetera. But depending on that, the inventory of the supply chain will be disrupted. Maybe that's the nature of the thing that is happening right now. So that is the way I'm thinking right now. From that perspective, so trying to dramatically change the direction of the supply chain, no, we're not thinking about that. We will, of course, look at the supply chain. But actually, looking at the inventory by looking at the way to hold inventory to how to absorb this for short-term stocks, I think that is the most effective way to operate the business. I think I have the feeling the customers are going to that direction. So with the change of geopolitics and the impact that has on the business is not will lead to a drastic change of the supply chain. I think having the inventory in a strategic matter will be the way the people will be responding to the situation.
Operator: The next person is Okawa-san from Daiwa Securities.
Junji Okawa: This is is Okawa from Daiwa Securities. I have two questions. First, regarding gross margin for Q4, you talked about you were expecting deterioration, but it didn't. So can you give us more flavor on that? Q4-wise, Q-on-Q, Automotive and IIoT improved by 1 point plus. Therefore, can you sort things out for us?
Shuhei Shinkai: For Automotive, there were price negotiations for certain deals. And we were anticipating price decline Q-on-Q, but that didn't happen as a result of the negotiations. Also regarding mix, low gross margin, sales were expected to rise, but it didn't grow as much. So these products are new products related to digital power as well as automotive, old products for mix. That's all for me.
Junji Okawa: For Automotive and that prices didn't go down as much. Is that because of positive impact from demand and supply? Or is that because positive impact from share? Or was it by chance? So are there any reasons why things are working out well?
Hidetoshi Shibata: It's more of a specific factor actually. So it's not notable. But from Q1, actually, it's going to deteriorate. So it's just a timing thing.
Junji Okawa: The second question is about Automotive and IIoT regarding share or products. When you look at other company results, Europe, Automotive; they have a cautious outlook and a cautious outlook on Automotive overall. But when you look at your forecast as well as hear your comments, it's not that bad. It seems that your share is also rising in Europe apparently. So for Automotive and share, are you getting good response in business? Are there any unique reasons why you're feeling that way? And for IIoT, physical AI has now come into the picture. So it may be too early to say, but have you been able to capture any opportunities? So can I have a comment on both Automotive and IIoT?
Hidetoshi Shibata: Unfortunately, we won't be able to meet your expectations, Okawa-san. In Automotive, idiosyncratically, there is nothing that we're seeing that is amazing that's underway. It was last year or the year before last, our MCU share went down. And when we were talking about what we're going to do about it, we were saying that it may take time, but we do have various countermeasures underway. So we're not that concerned about the longer future. And that was true actually. It's not that bad. But it's not as if we're going to see big impact this year or next year. Over the short term, 28 MCUs, we do believe steady growth this year. And for Gen 4 [ Alcon ], we will start to pick up as well, which are likely to become growth drivers. But as you rightly know, probably, since last year, traditional auto OEMs technology updates, in a sense, have started to slow down. It's probably because it's under review. 47 MCU and Gen 4 [ Alcon ] is likely to sell. But it was more moderate than expected. For '26, I think we'll go back and forth. Hopefully, we'll move forward and move backwards less. For IIoT, I would say the DRAM impact is the uncertainty, so impact from memory. Of course, we have accounted for this uncertainty when looking at the second half of the year. If we're able to well manage this, for IIoT, I think business will be strong because AI is strong, and military and aero is strong in Industrial. And for mobile IIoT, I don't know if I should put it as a share gain, but a number of sockets we were able to win have increased in number. So due to inherent reasons, we are expecting growth. However, because of lack of DRAM, there might be converged to higher-end models. And I think that trend is likely to happen. So we are cautious in our stance. But trend-wise, momentum-wise, I think it's relatively strong. That's all from me.
Operator: Next, Citigroup Securities, Fujiwara-san.
Takero Fujiwara: Fujiwara from Citi Securities. I have two questions. First, this time, so 150 days, you're going to raise your internal inventory target to 150 days. So when you answer your question, so you think you have to increase your inventory for AI-related applications, so 150 by applications for segment by Automotive and IIoT; is it different inventory levels? How -- and the pace of this increase of the inventory. And by doing so, how much can we expect this will push up the profit. So this is the first question.
Shuhei Shinkai: So between Automotive and IIoT, we do not that there is an appropriate way to look at the inventory. The reason is that we have 3 buckets that we're looking at. One is the high -- the demand growing area, that will be data center AI. So that is IIoT. The second bucket is that we want to be -- we don't know how to respond to the request of the customers [ who ] have redundant supply chain. That will be more on the Automotive side. And the third bucket is, generally speaking, the risk of the supply of the material. For instance, if it's rare earth, some will be difficult maybe to acquire or so there are some situations that some parts was difficult to acquire. So this was taken up by other demand, meaning that demand/supply was tight. So we want to be proactive in securing that procurement. So we have these 3 buckets that we're thinking about when we talk about inventory. In terms of pushing up the profit, we are not actually looking into that too much because in terms of raw material, we have to have the raw material. And then for AI data center, that we procure from data centers, so that will be contributed to the profit. So the buffer stock based on some products, some producing internally, some not; so it's not the case that the 30 days of increase of the inventory will fully cater profits, maybe some contribution, but not all.
Takero Fujiwara: My second question is that you said to the previous person is that due to the high price of memory, so I would like to ask you about that. So I think PC, smartphone, automotive, I think that is where the DRAM price will hit you. If you look at PC, smartphones; the impact on the volume in itself, and specifically, maybe smartphone is in the case, but if we look at the cost, maybe there is a negative impact when you have a price negotiations compared to the competitors. In terms of Automotive, so infotainment area, maybe that will impact the infotainment area. So when you're negotiating the customers currently, do you think that this will impact the volume? In the previous cycle of the lack of semiconductor, so there was a move to have lower specs for the automotive applications. Are you discussing about this at this point?
Hidetoshi Shibata: So for automotive, we do not have a clear visibility about the situation right now. In terms of volume, it's not that big business. So maybe the volume is not that large in terms of usage. So maybe you can just pay up, we'll be able to get our hands on the DRAM. So volume-wise, that's the situation. But what I said that I don't know what's going to happen is that so there are applications that they're using old models. So for instance, using DRAM, [ DDR4 ]. So the memory suppliers are saying that we can't supply [ DDR4 ], but we can supply [ DDR5 ]. I think that's going to happen. So that is where we do not have a visibility. So all in all, I think things it's like one step forward and one step backwards. I do not think that the volume in itself is going to plunge, but we cannot be too optimistic about the situation. So for the nonautomotive areas, of course, the DRAM price is going up this level. Some customers will ask us to do something about that. But as of now, we are not experiencing that. I think our customers are very, very careful in this area already. As Shinkai has implied, this frenzy that the AI is generating, some raw material is already lacking in supply. So there are already some areas there is a lack of supply. So if that is the case, if they put too much pressure on the suppliers, then there is a risk that they will not be able to get their products from the suppliers. I think the customers are trying to strike a balance in this area because it is true that there is a shortage of products. So we do want to be ahead of placing orders and try to build up an inventory so that we don't have a lack of the supply. So this kind of imbalance situation is already there. So we are telling ourselves that we should be very careful about the supply chain.
Operator: Thank you. We are dry close to the ending time. So we would like to conclude the Q&A session here. Finally, Mr. Shibata will expand closing comments.
Hidetoshi Shibata: Market cycle-wise, we are finally at a point where we're seeing light, also centered around AI. In consideration of geopolitical risk, the way we hold inventory as well as how we can settle in supply, will be one of our focus areas for the time being. It will be a tailwind if we do it well. And if we fail, it will be a headwind. And regarding the transfer of the timing business, in the area of AI, the necessity of making investments are growing higher day by day. So we're going to change our narrative compared to before. And accordingly, we would like to make -- think about making significant investments where necessary. Apart from that, we will be focusing on balance sheet management and shareholder return. And like I always say, factors that may allow our performance to go upwards or downwards are all over the place. Therefore, we would like to ensure that we are able to disclose information to you so that we could heighten your predictability without delay. That's all from me. Thank you very much.
Operator: Thank you very much. This concludes Renesas Electronics Fiscal '25 Q4 and Full Year Results Briefing. Thank you very much for joining today.